Operator: Welcome to the TETRA Technologies, Inc. second quarter 2008 earnings conference call. (Operator Instructions) It is now my pleasure to introduce your host Geoff Hertel, Chief Executive Officer for TETRA Technologies.
Geoffrey M. Hertel: Joe Abell, our Chief Financial Officer, and Stu Brightman, our Chief Operating Officer, are in attendance this morning as well. They will both be making short presentations and will be available to help answer any of your questions. I must first remind you that this conference call may contain statements that are, or may be deemed to be, forward-looking statements. These statements are based on certain assumptions and analyses made by TETRA and are based on a number of factors. These statements are subject to a number of risks and uncertainties, many of which are beyond the control of the company. You are cautioned that any such statements are not guarantees of future performance and that actual results may differ materially from those projected in the forward-looking statements. With that, Joe, would you start with the financial overview.
Joseph M. Abell III: Revenue this past quarter was a record $304.0 million, 19.8% above the second quarter or 2007 and up 35.2% sequentially. Gross profit was a record $77.4 million, 27.8% above the prior year’s second quarter and up 84% sequentially. Gross profit as a percentage of revenue was 25.4% for the quarter compared to 23.9% for the prior year’s period and 18.7% for the previous quarter. General and administrative expenses were up 13.4% quarter-over-quarter to $28.0 million. As a percentage of revenue, however, G&A expenses decreased to 9.2% from 9.7% versus the prior year’s quarter. Net income before discontinued operations for the quarter was a record $30.2 million, or $0.40 per share fully diluted compared to $22.2 million, or $0.29 per share fully diluted in the same period last year, an increase of 36.1%. Net income before discontinued operations was up 110% sequentially. Net income including discontinued operations was $0.39 per share fully diluted. Year-to-date revenues were $529.5 million and net income before discontinued operations was $37.5 million, or 40.50 per share fully diluted. Looking at quarterly performance by division, revenue in the Fluids division was up 19.6% compared to last year’s second quarter, to a record level. Profit before tax was $15.6 million, up 51.7% over last year’s second quarter and up 128% sequentially, due to increased brine sales volumes, particularly in the Gulf of Mexico; especially strong seasonal European calcium chloride sales; lower brine costs due to a favorable long-term supply contract; and increased onshore service activity. In upcoming quarters we expect revenues to escalate as deep-water completions in the Gulf of Mexico and Brazil escalate. Revenue in the Well Abandonment and Decommissioning Services segment was down 5.7% quarter-over-quarter. Note that last year we operated a leased vessel for a portion of that quarter that we did not have in service this year, which contributed to the year-over-year decrease. Profit before tax was $11.5 million, down 8.9% over last year’s second quarter but dramatically better than the loss we reported in the first quarter. Worse than normal weather in the first quarter and the early part of the second quarter dampened the turn around that we have seen in this segment since the third quarter of last year. We were encouraged by the results that we had in the latter half of the second quarter. We had good demand for diving and offshore plug and abandonment services in the quarter and improving utilization of our heavy-lift vessels as the weather improved. Revenue in our E&P unit, Maritech Resources, was up 46.9% quarter-over-quarter, to a record level and profit before tax was a record $17.6 million, up 105% compared to the second quarter of 2007 and up 138% sequentially due to increased production resulting from our December and January property acquisitions and the success we’ve had with our exploration and development activities as well as higher oil and gas prices. These results were accomplished despite paying more than $24.0 million to our oil and gas swap counter parties in the quarter and expensing $6.7 million of dry-hole costs and decommissioning liability adjustments. The Production Enhancement segment set a sixth consecutive quarterly record for revenue and profit before tax with revenue up 32.2% quarter-over-quarter, profit before tax of $17.0 million, an increase of 39.9%, versus the prior year’s comparable quarter and up 10.8% sequentially. Activity continues to remain strong both domestically and internationally for our Production Enhancement businesses. We had $66.0 million of cash capital expenditures in the quarter. Our debt increased by $28.5 million during the quarter to $390.0 million. Debt-to-total-capital was 49.3% at the end of the quarter. We consumed cash in the quarter to fund our CapEx program. With that I will turn the conversation back to Geoff.
Geoffrey M. Hertel: Our second quarter results were very gratifying for our whole company, obviously. Some of the business strategies that we have been employing have taken years to come to financial fruition. The combination of this “build for the future” mentality and our over-aggressive attempts to triple the size of our Well Abandonment Decommissioning business in 2007 created problems for our profitability in the last few quarters. It was, therefore, very important that we show dramatic improvement in our operating results during the second quarter. Not only did we show that improvement, we set all-time quarterly records for adjusted per share profits and revenues. We believe that the long-term strategies that we are employing should continue to allow us to grow into the future. As Joe indicated, during the quarter, revenues exceeded $300.0 million for the first time. Per share profits were $0.40 for the first time, and our gross margin percentage exceeded 25% for the first time in a while at 25.4%. All of these financial metrics were vast improvements over our first quarter and all three exceeded levels attained in 2007’s second quarter. Our Fluids division had an excellent quarter, as Joe indicated, driven by that improving U.S. offshore market and the seasonally strong TCE operations in Europe. We expect that a confluence of factors will create a very attractive fluids market for TETRA during the next few years. The first of these reasons is that the deep-water demand in the Gulf of Mexico for fluids will create a growing market, in our expectation, between 2009 and 2011 and maybe thereafter. This is in stark contrast to the eight-year cycle of declining volumes between 2000 and 2007 for this market created by the decline in Gulf of Mexico drilling. Secondly, TETRA should enjoy a reduction in feed-stock costs as the effects of the Chemtura agreements in our new Arkansas plant impact our operation. These savings should grow from the 2008 levels through 2011. Finally, new international markets are opening up. Our recent Petrobras contract is an example of this potential. Our WAD services business also had a significant sequential improvement, as Joe indicated, in profitability going to $11.5 million from the $4.1 million loss in the first quarter. The reduction in the use of third-party leased vessels and equipment, as well as the elimination of turnkey contracts, has allowed us to better control our financial results. This improvement occurred even though the industry experienced poor weather conditions in the Gulf through the middle of May. Our June results were the best month of the year. This should indicate good profitability for our third quarter, in the absence of some epic storm. In particular, our heavy-lift and diving operations have experienced significant improvement in the last couple of months. Maritech had a great quarter. I would reiterate what Joe said, that in spite of payments of $24.0 million under our hedges, $6.7 million of dry-hole and abandonment liability adjustments, we had a record quarter. The dramatically increased hedge payments mean that the excellent quarter wasn’t entirely driven by higher prices. Obviously there are a lot of companies out there that show improvement in the last quarter or last two quarters, but most of it is driven by price. Since we’ve hedged most of our production, that is not the case with us. Instead, volumes increased, just less than 700 million cubic feet a day equivalent, from 57 million in the second quarter of 2007 and 60.9 million in the first quarter of this year. Much of this volumetric growth was driven by our most recent acquisitions. We anticipate adding four additional new wells in the Main Pass area in late August or September. These volumes should help mitigate normal declines. One thing that is going on that I’m sure most of you are aware about is the difficulty in obtaining tubulars. Some of Maritech’s previously planned second half 2008 CapEx may be postponed to the first part of 2009 because of this shortage. This change should not dramatically impact our previous 2008 production estimates as we had anticipated only nominal volumes in 2008 from these wells. In keeping with our practice of hedging a significant amount of our production, we added hedges during the second quarter, reflecting our increasing volumes. We added gas hedges for the second half of 2008, all of 2009, and all of 2010. We also added to our oil hedge position for 2010 at $137.50 a barrel. It is nice to reiterate the same comments for our Production Enhancement division that we have stated for the last few quarters, that being the pre-tax profits set an all-time record for the division. In testing both domestic and international operations contributed to that record. Compressco also showed good improvement. The strength of a company’s operation can usually be gauged by how it overcomes adversity because during all quarters most companies will come up with some adversity. During the last few quarters our “build for the future” projects and over-aggressive WAD services growth didn’t allow for typical adversity. The result was disappointing earnings. During this year’s second quarter we experienced a month and a half of poor weather in the Gulf of Mexico, $6.7 million of dry-hole and abandonment liability adjustments, and over $24.0 million of hedge payments, yet our earnings exceeded expectations. This is because we have positioned TETRA to take advantage of the current markets. We believe we are now structured to show additional improvement in the third quarter as our aggregate operations continue to improve. Before I open up this conference call to questions, I have asked Stu Brightman, our Chief Operating Officer, to address a couple of items.
Stuart M. Brightman: I wanted to take a couple of minutes before we open up for Q&A and just give a little bit more detail on a couple of the items we’ve covered. First is we announced in June we received a major contract for Petrobras for fluids and I just wanted to state that in addition to it being the largest contract taking us into the high-temperature, high-pressure wells, we’re on schedule, we’re looking to see benefit early in 2009. Over the last 60 days we’ve begun to add capital, plant expansion, and sent our initial inventories down to Brazil. So everything looks good for 2009 and again, this is consistent with our strategy of utilizing the low cost our of our Chemtura relationship, expanding internationally, and this fits in perfect to that and continues our international expansion plate for that group. The second area that Geoff mentioned and Joe talked about was well abandonment. I’m real pleased with the results during the second quarter, particularly given the unfavorable weather conditions through the first half of the quarter, as has been noted in several other discussions. As we move through the second quarter into the third quarter, the utilization in our major assets in diving and heavy lift looks good. The backlog is strong, we anticipate strong continued demand throughout the quarter. Operationally we’re executing well and I think the assets we have are very consistent with the demand we see. As we said earlier, we’ve taken out some of the leased assets we have. Those that we own are working well. The right number, the right quality to deal with the market opportunities going forward. On that same theme, as we’ve talked over several quarters, I have been very, very involved in this group and over the last twelve months I think we’ve solved a lot of the problems that we’ve talked about. The results of the second quarter are encouraging. We’re positioned for the third quarter. And recently we started looking for a Senior Vice President to run that business and I’m pleased to state that at this time we have found somebody. I think it’s perfect timing. This individual will be on board by the end of August. Lots of experience in the service world, international, which is an area we’re focused on. So I think the timing of it is perfect. I’m very confident in turning it over. The management group we have in place is poised for continued success and I think this will be a great addition to the group and positions us to move forward. So that’s kind of an update on those two or three initiatives on fluids, WAD, and the overall management group. With that I’ll open it up for any questions.
Operator: (Operator Instructions)Your first question comes from Jim Rollison - Raymond James.
James Rollison – Raymond James: I guess you would look sequentially, Geoff, at Well Abandonment Decommission business, obviously weather, barring any hurricane-type interruption, should be considerably better on average than second quarter. Maybe thoughts on what magnitude of increase you’re hoping to see on revenues and kind of as it relates to that. You’ve also seen sometimes a shift in what type of work you’re doing when the weather gets better and that’s impact on margins that it might have.
Stuart M. Brightman: Without getting too specific, I think we’re definitely poised in the third quarter to show improvement from the second quarter. As Geoff said, we saw that in June. That was our best month. July, we haven’t closed it yet but the indications are that utilization and some of the things we expected are being firmed up and expect that to continue through the rest of the quarter. So I think we’ll see both the revenue and earnings up lift. You know, we had shown some data back in April as we looked at the third quarter and I think we’re going to be directionally similar to that in the Well Abandonment business. In terms of the types of contracts, as we get into the third quarter, typically the weather portion of the contracts is probably more favorable to us and we’ve seen that in the business that we’ve already executed and the business that we have back-logged, so again, I think that’s part of the rationale why we’ll see those earnings improvements in the third quarter as well.
Geoffrey M. Hertel: I’ll give a little color on that as well. As you know, we lost money in the first quarter. We essentially broke even in the first month of the second quarter. We did much better in May, however, not anything as well as we did in June. So one would presume that if we could do anything approaching three Junes, we would be significantly better than we were in the second quarter in that division.
James Rollison – Raymond James: On the fluids side of the business, historically you’ve had a really good second quarter in terms of revenues and that usually falls off in the third quarter. Is that kind of a seasonal pattern we would expect to see again this year?
Geoffrey M. Hertel: We have one seasonal factor now in fluids that you did not have historically. If you go back ten years ago you would find that you had very strong fourth quarter because people were trying to drill up their budgets. That no longer is really the case. You kind of have a straight line for four quarters with two exceptions. One, during the third quarter last year you noticed a slow down because of hurricane work, people not wanting to go out and do that work. While we’ve seen a little of that this year, I don’t think we’ve seen as much as we did last year. So that seasonal factor, while it’s there, isn’t going to be over-riding. But the one seasonal factor that we do have is that our TCE European operations are strongest in the second quarter and that’s why you see the revenue strength there. You will watch that drop off in the third and fourth quarters and obviously the Gulf of Mexico work will have to offset that to keep your profitability at the same kind of levels.
James Rollison – Raymond James: So something probably similar, trend-wise, to what we’ve seen before.
Geoffrey M. Hertel: Yes.
James Rollison – Raymond James: Maybe with a little help from the weather, hopefully, this year. And then the last for me, just a couple of kind of housekeeping things, maybe for Joe. SG&A has obviously been ramping up as you’ve been adding resources, maybe gearing up for this Brazilian Fluids contract, what have you. Thoughts on that going forward and your tax rate.
Geoffrey M. Hertel: The SG&A went up in the second quarter for one reason. In the first quarter we didn’t reach budget so we didn’t budget bonuses for people. In the second quarter we exceeded budget and came and made up for much of what we lost in the first quarter and consequently there’s a slug of bonus money in the second quarter that wasn’t there in the first quarter.
Joseph M. Abell III: And then, Geoff, if I’m not mistaken, relative to the second quarter of last year, the incentive comp was relatively minimal, so any increase this year would have been dramatic relative to last year.
James Rollison – Raymond James: Yes, so similar to last year’s trends is kind of what you’re saying there?
Geoffrey M. Hertel: Well, what I’m saying is that you made up in the second quarter for the first and second quarter, to a great degree. So you’re not going to see it spike up again the same amount as you go forward because you really had a significant amount in the second quarter.
James Rollison – Raymond James: And then, Joe, on the tax rate?
Joseph M. Abell III: I would continue using the same tax rate, roughly 35%.
Operator: Your next question comes from James West - Lehman Brothers.
James West – Lehman Brothers: Geoff or Stu, on the Fluids business it seems like you’ve become even more positive on the outlook for the Gulf of Mexico, at least in the near term. We see the rigs moving to completion work, but I guess my question is, first off, do you have contracts in hand now to supply fluids for those completions? And secondarily, given the ramp up, are you seeing some pricing power?
Geoffrey M. Hertel: First of all, when I’m talking about the deep water, I’m really talking about 2009-2011. There are deep-water projects going on but the escalation that we see in the 2009-2011 time period is very significant. You’re getting spot jobs now as you get a little bit of this being done, but the real growth that we’re talking about is a 2009, 2010, 2011 event, not a 2008 event. The work that we’re getting now is shelf work and some deep-water work and it’s really just a concept that you’re beginning to stagnate the rig count as opposed to having a declining rig count that we’ve had for a number of years. So it’s kind of like the Chinese water torture and now that it’s not dripping any more you’re not up and running but at least you’re in better shape than you’ve been. So from our perspective, that’s great. In pricing, the big issue there that you may have seen, you’ve seen a couple of these bromine producers increase their prices on a lot of their products. As you well know, we’re integrated. To some extent we’ll be totally integrated here as we get all of our plant and other operations up and running. But the net effect of that is that if they in fact begin to charge significantly higher prices, we would hope that the retail price would move up at least in proportion to that wholesale cost increase and that we would begin to benefit. I think Joe indicated that our margins had begun to improve somewhat but remember, we’re also working off a lot of high-cost inventory still this year and you won’t see the full impact of these benefits until 2009 and 2010.
Stuart M. Brightman: I would just add to that this really is a transitional year as we had always expected and we’re starting to see consistent with that some of the positive assumptions on the costs coming down. That will continue. As Geoff said, we’re seeing the volumes maintain as opposed to decline. We’re seeing the pricing hold steady and all of those when you put them together, they’re all slightly favorable and they’re contributing to the results and make us feel good that the long-term plan that we have is going to work the way we’ve outlined.
Geoffrey M. Hertel: One other question I think you had asked, and that was where we stand. We have some of these deep-water contracts in hand. There are a couple of large contracts that are supposed to be let before the end of the year. We obviously would like to see TETRA participate in winning some of those as well.
Operator: Your next question comes from Michael Harrison - First Analysis Corporation.
Michael Harrison – First Analysis Corporation: I was wondering, Geoff, if we could get you to elaborate a little bit on the outlook and maybe put some numbers with your commentary that was in the press release. I think as you look at the consensus numbers, analysts are looking for about 15% to 20% improvement sequentially in Q3 EPS over Q2 of $0.40. Are you comfortable with where that consensus number is for Q3?
Geoffrey M. Hertel: While we don’t give specific numbers, we did give you a lot of directional guidance, so I will address that. When we gave you directional guidance we were using an estimate of $0.35 to $0.38 for the second quarter. Obviously we did better than that. All we’re saying to you is we don’t believe that our third quarter is going to be any worse than we thought it was going to be before and it may very well be better. But the percentage gain between the second and third would be less because the second quarter was better than we assumed. That’s all I’m trying to suggest is that you don’t want to take the higher second quarter number and put the same percentage growth on it or you may be at a level that we’re not comfortable with.
Michael Harrison – First Analysis Corporation: And in terms of the EPS guidance for the full year, are we still at $1.30 to $1.55 and any reason you wouldn’t, you didn’t consider tightening that range?
Geoffrey M. Hertel: I believe if we do that on this conference call we have a problem. I guess I would answer the question that if we thought it was different we would have said something in the press release.
Michael Harrison – First Analysis Corporation: Then looking at the Fluids agreement with Petrobras, does that agreement give you some opportunities to leverage other services, like testing, over time?
Stuart M. Brightman: That contract per se doesn’t but we have a very good position in that in Brazil and that business is growing and while that contract itself doesn’t [inaudible] our relationship in the investment we have down there in the infrastructure, overall that helps us. Although that contract specifically doesn’t deal with testing.
Geoffrey M. Hertel: But, Stu, you are expanding your testing.
Stuart M. Brightman: And that business is growing during the year. We’re putting additional capital in both testing and Fluids. We’ll continue to show that large growth. And again, I think it’s just the combined presence that we have down there.
Michael Harrison – First Analysis Corporation: Given the demand pick up in Fluids that you see from both the deep water as well as the Petrobras agreement, do you have any sort of time line for when we could see pre-tax margin for Fluids get back to 2006 levels, more in the mid-20% range?
Geoffrey M. Hertel: I think I’ve walked people through this before. When this was a specialty product twenty years ago you had margins up in the 35% range. It became a commoditized product when some of the bigger guys got into that market and I would expect that those margins are probably in the 15% range. The reason that we’ve always had better margins is the fact that we are partially integrated. And what I’ve indicated to people is unlike our 15% to 20% margin that we would hope to improve upon that as you see us bringing our integrated product in, but that you should not expect us to get back to 35% to type numbers. The numbers in 2006 were impacted by inventory gains as well as other things. If you take those inventory gains out you go back in margins that we’re probably more comfortable with, which would be maybe 25%ish if everything worked well.
Michael Harrison – First Analysis Corporation: And looking at WAD, I was wondering if you could talk a little bit more about the strategy there and how you’re going to market differently with this focus on earnings rather than revenue? Is that essentially just the change in the asset mix and not going with the leased vessels?
Stuart M. Brightman: I think it’s a combination of several factors. I think clearly the elimination of the leased assets and just the exclusive focus on the assets we own, I think that’s narrowed the field and made it easier to manage and given us good utilization on those assets. I think, as we’ve said before, we’ve evolved over the last year on the contracting methodology and I think we’re taking a lot less of the risk and we’ve seen the benefit of that. And I think we’ve also got everybody focused on the discrete services and making certain we get our fair share of each one of those and where there’s an opportunity to integrate it, we’ve got that capability, too. So I think with the assets of the organization, the focus, all those have come together to kind of get that in line with what we own. And I think that’s why we’ve seen the benefit in the second quarter and going into the third quarter.
Geoffrey M. Hertel: Mike, I might expand on that a little bit. Stu was brought into that area a year ago to try to make sure that we understood how that market worked and where we ought to be putting our assets and how we ought to be deploying them. In doing that we determined that one of the areas that makes it very complicated to understand, is the turnkey business. We had historically been a 35% to 40% turnkey in that business. Turnkey margins, if you do them right, are typically somewhat higher than day-rate margins. So, our margins, if you look back a number of years, would have looked better even than the margins that we’re showing right now because we have everything essentially on a day-rate or modified day-rate basis. As you go forward, it is conceivable that we will go back to taking part of our work on a turnkey basis, now that we feel comfortable in understanding how that business works. And I think indicative of that is the fact that Stu is comfortable in turning over this division now to another person to run because it’s now positioned in a way that will allow it grow into the future. And you ought to begin to see us take some turnkey contracts, which hopefully, as that occurs in 2009 and 2010, allows those margins to improve once again.
Michael Harrison – First Analysis Corporation: And what would you say has to happen there in order for you to make that decision? Is it just kind of getting comfortable with how you’re executing?
Geoffrey M. Hertel: I won’t speak for Stu but I’ll speak for me, and that is I wanted to see a quarter like we just had and I want to see a third quarter the way I hope that the third quarter is going to look like and then I’m going to feel real comfortable that everything that’s been put in place is working the way it should. And clearly through July it has.
Stuart M. Brightman: To me it’s just being able to repeat for a period of time the ongoing execution so we’re absolutely pristine and then we can evaluate whether we want to increase the risk profile a little bit. I totally agree with Geoff, we’re not there yet, we want to take some more time and if we continue to be successful, the way we’ve demonstrated recently, it’s very possible we may increase that a little bit but we’re not ready yet.
Geoffrey M. Hertel: And when he says we’re not there yet, I don’t think, and I’m not speaking for him but for me, I’m comfortable we’re there in the way we structured it and we’re moving, we’re just not there yet in the show-it-to-me kind of concept. Both of us want to see at least two quarters. We’ve got one, we’re working on the second.
Stuart M. Brightman: Yes, we fully want to demonstrate that second quarter and validate that that is consistent with the way we are executing. The execution is there. I want two quarters of validation before we review that.
Michael Harrison – First Analysis Corporation: The last question I had is on Compressco. Given that we’ve seen some bad press for MLPs recently, I was wondering if you could just give us an update and let us know if those plans have changed.
Geoffrey M. Hertel: Obviously now we’re delving into things that are very difficult for us to discuss. As I’m sure you’re aware. If in fact you are looking at doing anything you’ve got SEC issues. I’ll say this, the MLP market is not a consideration for us in taking this public at this point in time. And the reason for that would be consistent with our previous statements that if we were to do any sale of the company, it would be a relatively small amount and it would be an effort to get it public versus an effort to secure a lot of capital. Therefore, where the pricing is at the time that we do it is relatively insignificant. I say that, obviously if there are 15% yields on these things that might be a different situation but that’s obviously not the case.
Operator: Your next question comes from Joe Gibney - Capital One Southcoast.
Joe Gibney - Capital One Southcoast : Just wanted to talk a little bit about Maritech. If you could, Geoff, just a little bit of detail on what were realized prices in the quarter? And you mentioned tightness in tubulars. Just if you could kind of give us a sense in where we’re going on production in the back half of the year versus Q2 levels.
Geoffrey M. Hertel: First of all, I do not have in front of me the average. Joe, if you’ve got it, that’s fine. I can tell you that we had 3,500 barrels a day of our roughly 4,500 barrels of production of oil hedged at about $68.00 or $69.00 a barrel. So you can kind of work that out. Our gas was hedged somewhere in the $9.00+, $9.20 range for about 2/3 of our production to ¾ of our production. So, you could work that out. But I think our 10-Q will have that data. And Joe, if you’ve got it available.
Joseph M. Abell III: Joe, the average realized oil price was $86.19 a barrel, average realized gas price was $9.83 for MCF.
Joe Gibney - Capital One Southcoast : And you are still holding in there roughly 45-55 split? Gas, oil? Is that correct?
Joseph M. Abell III: And that is reflective of our hedges, by the way.
Geoffrey M. Hertel: The answer is no, to you. That has historically been the case, but when we did the purchases at the end of last year almost 100% of that is gas. So you’re not more like 55/45, maybe a little more than that, gas to oil.
Joe Gibney - Capital One Southcoast : And just following up a little bit more on the Fluid side, if you could, give us a sense of how much directionally TCE really does impact [inaudible]. I guess just an update, percentage offshore/onshore, from a 30,000 foot view of your revenues on fluids and just trying to actually understand how much of the impact in Q2 TCE really did account for.
Geoffrey M. Hertel: You want to give him some idea of that, Joe, without being real specific since we don’t break that out.
Joseph M. Abell III: What percent TCE represents of the revenues, let’s see if I could give you some sense. Maybe on the order of 10%.
Joe Gibney - Capital One Southcoast : And CapEx outlook for the rest of the year. You mentioned $66.0 million cash CapEx in the quarter. What should we be looking at for the rest of the year?
Joseph M. Abell III: What we had mentioned on the previous conference call was we thought we were going to exceed our CapEx plan that we had laid out at the beginning of the year based on the market opportunities we saw in front of us. But as Geoff alluded, with the tightness in getting tubulars, we may not be as aggressive as we had hoped we could be on the Maritech CapEx budget. I think we probably will end up spending a bit more that we had originally guided at the beginning of the year but probably not as much as we had indicated to the market on the first quarter conference call.
Operator: Your next question comes from Bill Dezellem - Titan Capital Management.
Bill Dezellem – Titan Capital Management: First of all, relative to the Petrobras Fluids contract, will you be shipping some of the high-cost fluids inventory that you have here domestically down on into that contract? And if the answer to the question, would this mean that you are going to work through those higher cost inventories faster than what you otherwise would have planned?
Geoffrey M. Hertel: That’s an excellent question, given that I think Stu’s been working on that question for the last three months. Stu, do you want to answer?
Stuart M. Brightman: The simple answer is that part of those shipments will be a portion of those higher costs. So we will have the ability to work through it and get to that next layer a little bit faster, as we get into next year. But we’re still working through all the details but I would say that’s the early conclusion on that.
Bill Dezellem – Titan Capital Management: And then secondarily, relative to Maritech, I don’t believe that I heard, if you were discussing in detail, the $6.7 million in dry-hole costs, and if you did not discuss that, would you please?
Geoffrey M. Hertel: Yes, it was $6.7 million of dry-hole and abandonment liability adjustments. It was actually $4.0 million of dry-hole and $2. million of abandonment liability adjustments. The dry-hole was one of the wells that we were going after on the properties that we had acquired. We had earlier participated in well and Main Pass 133, which is one of the four wells that will be coming on stream here in the next 30-45 days. We also participated in the well on 166 Main Pass, which had the producing zones but they were wet and we determined that we were writing that off during the quarter. Where successful efforts and therefore you have to write off any dry holes.
Bill Dezellem – Titan Capital Management: And are you, as we speak, in process of drilling an important well right now?
Geoffrey M. Hertel: Well, we were 35% of that well. I believe we are participating as 10% in a well currently. We had a number of significant percentage wells that we were going to drill through the rest of the year, both in our Templar Bay area, that we’ve been drilling in, as well as in Main Pass as well as a couple of other areas. However, as I point out, it’s conceivable that some of those are going to be postponed because of the tubular shortage. So the only well that we are currently drilling is at 10% interest. Now, I’ll point out that the dry hole we had in the second quarter was actually a well that bottomed in late, late July, so there will be some residual carry-over of dry-hole costs into the third quarter for that.
Bill Dezellem – Titan Capital Management: And then relative to gross margins, I believe that gross margins were up in all divisions relative to the second quarter of last year, except the Production Enhancement business. So we might as well focus on that. What was the issue with Production Enhancement margin being down versus Q2 2007?
Geoffrey M. Hertel: Without, again, you recognize the specificity that we had difficulty discussing given what we’re doing in that division, but I think I can give you what you’re looking for, and that is as we are growing and as we are modifying how we do work in those two business areas, we have been adding significant infrastructure to both. For different reasons. One, for the international operations in particular for testing. Compressco should be self-evident. And the effect of that and the effect of getting all of the data necessary to attempt and MLP is costing us in certain areas that we wouldn’t normally have. So I think it’s safe to assume that those margins are going to consistently be in the areas they are right now. Which are still very good margins but may not quite be what they were before until we get past this next few months. Again, I’m skirting the issue a little. I apologize but I think you recognize that I’m unable to really get into that data.
Bill Dezellem – Titan Capital Management: The Fluids business and the Maritech business, you both noted in the release that they outperformed relative to what you were looking for. Would you please detail what was behind that over-performance?
Geoffrey M. Hertel: Well, in the Fluids it was the fact that our Gulf of Mexico volumes were higher than what we had budgeted for. Again, we weren’t budgeting a lot of the deep-water work. It so happened that the shelf work picked up somewhat, as well as some deep-water work that we had. So that was a surprise to us, pleasant surprise. It’s not something that goes in a straight line so it’s difficult to predict and given what we had seen in the previous two quarters we were a little conservative and it out-performed. In the case of Maritech, the volumes that they picked up were significant. A lot of the pricing that you would have thought would have been the big item, was offset, again, because we had hedged as much as we had. But volumetric gains were strong, we out-performed in a couple of areas which meant that the DD&S went down as a percentage of the revenues that we enjoyed in certain wells because of the out-performance. The net effect of all of that meant that the earnings were higher than we thought they were going to be. And that’s even with the $6.7 million that was not budgeted.
Operator: Your last question comes from Thad Veda - Stifel Nicolaus.
Thad Veda – Stifel Nicolaus: I just wanted to follow up quickly and make sure I’m clear. The margins in the Fluids business purely related to volume. Was there any type of accounting adjustment or inventory adjustment made that affected them, either pro or con, specifically, you know, you’ve indicated that you’re starting to sort of transfer inventory to satisfy terms of the Petrobras contract, or is it purely volume?
Stuart M. Brightman: There were no inventory adjustments that had an impact on second quarter.
Thad Veda – Stifel Nicolaus: And if you could spend a couple of minutes talking about the relative strategic importance of your Well Abandonment business overall. I think the world has changed a little bit since three or so years ago. How do you see this paying out for this segment? You’ve right-sized, you’ve made all the apparently appropriate adjustments in the way that you’re running this business. How does it fit going forward?
Stuart M. Brightman: I think as we’ve gone through the cycle and made the adjustments it’s still clearly a very important, strategic part of the company. We think even without the hurricane impact, on an ongoing basis, the demand for the Well Abandonment services in the Gulf is going to be strong and we think we’re very well positioned with our heavy-lift and diving P&A businesses and I think it will continue to be a steady, good business. In addition to that, we view that as we get out a couple of years we will grow into the international portion of that business and we have plans there and projects we’re pursuing and we want to balance our Gulf of Mexico exposure on that business with some international. And again, as we said about it in the past, it still provides a very clear synergy with what we do in Maritech. Maritech has grown as well over the last three years and they’ve become a very successful company unto their own, but there’s still the benefit that we see of having those services in-house and those two groups working together. So it has evolved and as it has evolved I think a lot of the original premise still holds true and there are some other areas we’ve focused on. But it’s still a very strong business going forward.
Operator: There are no further questions in the queue.
Geoffrey M. Hertel: Thank you very much for participating with us in the second quarter call and we look forward to speaking with you after our third quarter.